Operator: Good day, and welcome to the NorthWestern Corporation's First Quarter 2019 Financial Results Conference Call and Webcast. Today's event is being recorded. At this time, I would like to turn the conference over to NorthWestern's Investor Relations Officer, Travis Meyer. Please go ahead, sir.
Travis Meyer: Thank you, Chantel. Good afternoon and thank you for joining NorthWestern Corporation financial results conference call and webcast for the quarter ending March 31, 2019. NorthWestern's results have been released and the release is available on our website at northwesternenergy.com. We also released our 10-Q pre-market this morning. On the call with us today are Bob Rowe, President and Chief Executive Officer; Brian Bird, Chief Financial Officer; and other members of the management team in the room with us today. Before I turn the call over for us to begin, please note this company’s press release, this presentation, comments by presenters and responses to your questions may contain forward-looking statements. As such, I'll remind you of our Safe Harbor language. During the course of this presentation, there will be forward-looking statements within the meaning of Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements often address our expected future business and financial performance and will contain words such as expects, anticipates, intends, plans, believes, seeks or will. The information in this presentation is based upon our current expectations. Our actual future business and financial performance may differ materially and adversely from our expectations expressed in any forward-looking statements. We undertake no obligation to revise or publicly update our forward-looking statements or this presentation for any reason. Although our expectations and beliefs are based upon reasonable assumptions, actual results may differ materially. The factors that may affect our results are listed in certain of our press releases and disclosed in the company’s Form 10-K and 10-Q along with other public filings with the SEC. Following our presentations, we will open the phone lines to allow those who are dialed into the teleconference to ask questions. The archived replay of today’s webcast will be available for one year beginning at 6:00 p.m. Eastern Time and can be found on our website again northwesternenergy.com under the Our Company, Investor Relations, Presentations and Webcasts link. I'll now hand the presentation over to our CEO, Bob Rowe.
Bob Rowe: Good afternoon and thank you all for joining us. As you know we just finished our quarterly Board meeting and annual shareholders meeting, visit our operations center in Huron this week, had a great community event, a good breakfast and discussion with our Huron-based employees this morning. Unique thing about Huron, it has -- you may have seen this in the papers last week, there's a higher percentage of immigrants than any city in the United States. And over the last few years, the community has really embraced primarily ethnic and religious refugees from Burma, and they've just added a lot to the community. We were joined by this year's leadership NorthWestern class. And these are folks from all over the country, all over the company, some with decades of experience, some with only a year-or-so of experience, and they've been traveling around, visiting our South Dakota location this week. And tomorrow night, if you happen to be in the Sioux Falls area, you're welcome to join us all for dinner and meet the class at Brian and Janet Bird's house. And that's going to be a lot of fun as well. Turning to highlights. Net income for the first quarter increased by $14.3 million, 24.4% as compared to the same period last year. This was primarily due to higher gross margin, which was the result of colder weather and customer growth. And then also a reduction in revenue in 2018 due to impacts of the Tax Cuts and Jobs Act and this was all partially offset by higher operating expenses. Diluted EPS increased $0.26 or 22% as compared to the same period last year. And then after adjusting for favorable weather in both periods, non-GAAP adjusted EPS increased by $0.12, or 10.8% as compared to the same period in 2018. On April 15th, we issued a request for proposals for 60 megawatts of flexible capacity resources to begin serving South Dakota customers by the end of 2021. Responses are due in July 2019 with evaluation of the proposals in the second half of 2019. We'll come back and talk a bit more about that and another supply matters. And then the Board of Directors declared a quarterly dividend of $0.575 per share payable June 28 to shareholders of record as of June 14. And with that, off to Brian.
Brian Bird: Thanks Bob. The summary of financial results for the fourth quarter, we had a very good first quarter of 2019. Gross margin was up 9.4%, operating income up nearly 15%. And as Bob pointed out, net income and diluted earnings per share were both up over 20%. So, very, very good start to the year. Moving right to gross margin. For the first quarter gross margin was $268.5 million or an increase of $23.1 million, again 9.4% increase of -- and by the way that increase was both across the electric and gas business. The gas business impacted a bit more by weather than the electric business. The three biggest drivers that impacted the change in gross margin that actually impacts net income was obviously an increase of natural direct gas retail volumes and an increase in electric retail volumes a total of $13.4 million between those two. And that was primarily driven by colder weather, but we did see increase in customers as well there in the quarter. The last item of significance during the quarter was, in 2018, you may recall because as a result of Tax Cuts and Jobs Act, we did have some margin revenue reserved associated with a give-back to customers that did in fact provide at the end of the year. We did not have any of those deferrals in 2019, thus the benefit in 2019 versus 2018. But that was of $7.3 million. The total of those three items themselves add up to approximately $20.2 million below in change in gross margin offset. Elsewhere, within the P&L, we did have to $2.9 million, and we had a total increase of $23.1 million increase in gross margin for the quarter. Moving out to weather, we were colder in all jurisdictions both versus the prior year and versus our historic averages. As you can see on the map at the bottom of the page both February and March much colder than they had been versus normal. And as a result versus normal we had a $14 million improvement in pre-tax gross margin as a result of weather and $9.2 million better than the first quarter of 2018. Moving onto operating expenses. Operating expenses were $171.5 million or $10.6 million, 6.6% better than the prior year period. Operating and general administrative expenses about 9.2% increase in property taxes and depreciation up just under 5%. In fact the OG&A at the top of the page. If you backed out those items that were offset elsewhere within the P&L the increase is approximately just under 5% for that item. And as a matter of fact of the $3.7 million change in OG&A that actually impacts net income the first two are the primary importance to talk about here hazard trees. We are more focused on spending on trees outside of our right-of-way in 2019 and decided to allocate more dollars towards that during the year. It was $0.9 million in the first quarter. We've also increased our cash funding approximately $4 million in 2019, primarily due to asset returns that we've experienced. The impact in the first quarter of that was $0.9 million as well. So those are the two biggest drivers in the operating expense items that impact net income. We did have $3.1 million of items that are offset elsewhere in the P&L for a total of $6.8 million increase in OG&A. We did mention the increases in property taxes and depreciation $2 million and $1.8 million respectively. Both of those increases were primarily due to planned additions. Operating income page 8, $97 million, $12.5 million or 14.8% better than the prior year. Below that, interest expense is up slightly due to higher borrowings. Other income has improved to $2.2 million on a year-over-year basis, primarily driven by those items I mentioned else -- earlier that are offset elsewhere in the P&L but also due to higher capitalization of AFUDC during the quarter. That provided for an income before taxes of $74.4 million or $14 million improvement an increase of 23.2%. And then below that is income taxes are actually down slightly. And I'll speak more of that on the next page. Income tax reconciliation. Even though we did have an increase in pretax income that actually increased our tax associated with the federal statutory rate, we did have a higher level of flow-through adjustments on a year-over-year basis, which ultimately netted in $0.3 million decrease excuse me in income tax expense. Moving to the balance sheet. Not much to report there, very little change since year-end 2018. But you can see we continue to trend closer to the bottom end of our 50% to 55% target range on debt-to-cap and we're now at 50.8% at the end of the first quarter. Moving on to cash flow. We did have an impact on cash flow for the first three months of 2019 versus 2018. Cash from operating activities decreased by $61.6 million, primarily due to an increase in market purchases of supply resulting in under collection of supply cost from customers. We also provided for TCJA those credits even though the book expense I shouldn't say book expense, the hit from an income perspective hit in 2018. We really didn't feel the impact of those from a cash perspective until the first quarter of 2019. And also we had receipt of insurance proceeds during the first quarter of 2018. Those are the biggest impact on the cash flow statement. Moving forward to adjusted non-GAAP earnings. At the bottom of that page, you can see the far left from a GAAP perspective a $1.44 for the quarter. When you back out $0.21 of favorable weather, we get to $1.23. That's compared to on a prior basis $1.11 which was adjusted by $0.07 of favorable weather that $1.23 is $0.12 higher than the prior year period on an adjusted non-GAAP basis or a 10.8% increase. When you do that throughout the P&L, you can still see a nice improvement in gross margin even after adjusted for weather approximately a 6% improvement there. That was higher -- that percentage increase was higher than increase in operating expenses on adjusted basis resulting in a 7.1% increase in operating income and 8.6% improvement in pretax income. And lastly, $7.4 million or 13.5% improvement in net income. We were slightly lower on a diluted EPS percentage increase because we did have share dilution on a year-over-year basis. With that, I'll hand it back over to Bob.
Bob Rowe: Great. Thank you, Brian. A summary of coming events appears on page 13. As you know, we filed a Montana General Electric Rate Review in September. We go into hearing next month. We expect to file parallel FERC rate case for Montana transmission assets in the coming days as well. Continue to focus on our transmission and distribution infrastructure with a comprehensive capital program addressing safety capacity and reliability. Obviously, we're well underway with that. And on the natural gas side specifically significant investment driven by safety and compliance activities. And then grid modernization including the advanced distribution management system, we are deploying currently and the AMI system that we are underway deploying starting in South Dakota moving both gas and electric moving south through South Dakota into Nebraska and then taking a look at Montana. We continue to make progress preparing to enter the Western Energy Imbalance Market. And of course, we are ever vigilant concerning controlling all the costs and well underway with planning and implementation, particularly in the South Dakota resource plan. We'll talk a bit more about that. Turning to the Montana electric rate review. This is our first general Montana electric case since 2009 and that's a reflection of our ability to provide really pretty extraordinary price stability to our customers over that period. While we have done a good job I think, managing our costs, increased property taxes, along with significant investment in the T&D system, really did compel us to finally come back in. And obviously, it's a great thing for customers that we were able to stay out for as long as we were, while continuing to invest and maintain very high levels of service. So September of 2018, we filed, based on our 2017 test year, and $2.34 million of rate base. At the time, we requested $34.9 million annual increase in rates for a residential customer that would be about 7.4% increase. Then on April 5 of this year, we filed rebuttal testimony, updating and lowering our request to $30.7 million. And this responded to intervenor testimony, but also included various known and measurable adjustments. We requested a 10.65% ROE; 4.26% cost of debt; and a capital structure with 49.4% equity; and of course, 7.42% return on rate base. In March, the commission issued an order -- an interim order, approving approximately $10.5 million on an interim and refundable basis that was effective on April 1. February 12, the intervenor testimony came in and the Montana Consumer Council took an opening position by recommending a $7.3 million rate decrease. And on February 28, the commission voted to request additional testimony on five issues and those are spelled out in the deck that did include probably, most notably, more discussion of hazard tree and wildfire liability mitigation as an issue, we're obviously focused on and have been focused on for quite some time. May 3 is the final day for both NorthWestern and intervenors to respond to discovery. May 13, the hearing starts. In addition to the standard rate review issues, we do include a proposal to capitalize DSM costs, establish a new baseline for the electric supply track, or the PCCAM, include the Two Dot Wind project in the rate base and then approve a new class for our -- for future, net metering customers, while current net metering customers would be gradual. Lots of interest in the Montana Legislature, specifically sessions were wrapped up in South Dakota and Nebraska and were quiet in constructive. In Montana, the last legislative day on a 90-day calendar is Monday, the 29. There's expectation they will have adjourn sine die before then. We we're following quite a number of bills, and were successful in supporting the defeat of bills, I mean it would've been quite harmful to our customers and to us. And also had some success on couple of issues that were important to us. In summary, there was a general legislation that would've allowed us to acquire up to 250 megawatts of generation from Colstrip Unit 4 for $1 and would've also facilitated acquisition of a greater share of Colstrip transmission system that we operate. And the primary vehicle there was Senate Bill 331 that is now listed as probably dead. Also, we were interested in legislation that would remove the so-called debt banned -- plus or minus $4.1 million debt band sharing provision from commission's electric supply tracker order. And that is Senate Bill 244. That has been enrolled and then will be submitted to the governor. There was also a legislation that would -- several pieces originally that would have prohibited the commission from applying a maximum contract length of 15 years to future owned or contracted supply resources, as have been required in the commission's November 2017, qualifying facilities order. This was the so-called symmetry rule. And one of those pieces of legislation, SB 22 may be moving into -- is moving into conference. We don't know the final outcome made on the legislative side for the next couple of days. Although, things are very clearly wrapping up. So it's pretty mature to say the ultimate end of all of this. But again, the -- on many subjects, we consider the Montana session to have been a success. Certainly, it is very disappointing for our customers in terms of where the bill would've addressed providing the Colstrip benefit appears to be ending up. Turning to our supply plants, the South Dakota plan is moving ahead in really great fashion. It's published in the fall of 2018; focuses on modernizing our feet; improving reliability and flexibility; maintaining compliance in the Southwest Power Pool; and lowering operating costs. We've identified about 90 megawatts of existing generation that really needs to be retired or replaced over about 10 years. Then on April 15, just a few days ago, we issued an RFP for 60 megawatts of flexible capacity resources to begin serving our South Dakota customers by the end of 2021. Responses are due in July and we'll evaluate proposals over the second half of the year. So there's an awful lot of interest in that process to-date and we're very pleased with that. Concerning the Montana plan, draft plan was completed in March. It's expected to be finalized by the end of June and we are sponsoring a 60-day online comment period. You can go to our web page look at the plan and track comments and the deadline for filing public comments is May 5. And the plan focuses on the goal of developing resources that will address our fairly dramatically changing energy landscape and meeting our customer’s needs in a reliable and affordable manner. And right now we're about 60 -- 630 megawatts short of our current peak needs and that means that it was the case in February, March of this year and for that matter August. We were in the market at the absolute worst possible time. And with coal retirements and increases in intermittent resources in the region that market is changing really quite dramatically. And as a result, we forecast that our portfolio is going to be about 725 megawatts short by 2025 that's even assuming contributions from energy efficiency and distributed generation and a relatively modest increase in customer demand. Planned regional retirements of coal plants as I mentioned are 3,500 megawatts. And the loss of load probability becomes significant according to the Council -- by the Regional Power Planning Council by 2021. We are -- our draft plan contemplates soliciting all source proposals supply-side, demand-side of all flavors later this year for peaking capacity available by 2022. And then we'd essentially watch for instance and repeat several times. And the reason for the multiple rounds is to feather in resources, take advantage of technology developments, changing cost structures as that occurs but the need is significant. Very important to note that the plan would be to use competitive solicitations administered by independent evaluators. And, therefore, we have not included capital associated with the identified needs in our forecasts. And these needs could affect our capital spending potentially in excess of $200 million over the next five years. And then with that turning to the capital forecast. We are still anticipating $1.6 billion of total capital over the next five years. The increased investment that you see in the first three years is associated primarily with the important and immediate focus on AMI. Initially as I mentioned in South Dakota and we continue to anticipate funding this level of investment with cash flows aided by NOLs and then long-term debt issuances. But investments that are not in the above projections or on the other hand further negative regulatory actions could require additional funding. And then as we highlight every quarter, this capital forecast does not include investments associated with identifying needs under either the South Dakota or the Montana supply plans. And with that, I believe we can open it up for any questions.
Operator: Thank you very much. Ladies and gentlemen, at this time, we would like to open the floor for questions. [Operator Instructions] Our first question will come from Julien Smith, Bank of America.
Nick Campanella: Hey, it's Nick Campanella on for Julien today. How are you?
Bob Rowe: Hey, Nick.
Nick Campanella: Hey, I just wanted to be clear on Colstrip just given the legislation died. Are there other paths forward that you see, in which you could still acquire capacity or transmission there to perhaps fill your longer term resource needs or otherwise?
Bob Rowe: I think we're going to have to put down the pens and focus on the great review for the coming months and just assess the situation. This was an extraordinary missed opportunity. And I think a real shame for Montana to acquire a resource with great immediate and long-term value for our customers. A great bridge resource and to clarify ownership of the -- and future directions for the transmission system. It is critical infrastructure to serve our customers. The problem is that the risk and reward were incredibly misaligned. We were eager to pursue the benefit; the reward on behalf of our customers provided we could address the risk and that was really a pretty modest goal in the legislation. But sadly, we just couldn't get through. So the answer is the value is still there. It's a real shame for the state of Montana that we couldn't capture that value preserving for our customers. We're going to be focused on the rate case finishing up the supply plan and see what happens from there.
Nick Campanella: Got it. And then I guess just regarding the rate case. I know that you mentioned there's additional testimony required on five issues, and you mentioned the disposition of access CDIT. Is that the same as the repairs tax issue in the rate case? And then can you just talk about what that is and your ability to address it in this rate case?
Bob Rowe: Yes. Brian?
Brian Bird: Yeah, I think the issue there is the amortization associated with excess deferred taxes and how that's going to be treated on a going forward basis and even for the period up into the time going forward basis, and how that would be captured. There's quite a few questions about pension included in and EBIT and other things that are part of the rate case. It's pretty complicated stuff Nick. We'd like to think that we can focus on what the major issues are in the rate case and spend less time talking about taxes to be quite honest.
Nick Campanella: You don't see this inhibiting your ability to potentially like work towards a settlement or anything?
Brian Bird: I think we'll continue to try efforts there. I can't tell you that we're – that anything could come in the way of settlement or not. That's very early. We just got past a Board meeting. There's not a lot of discussions going in settlement at this point in time.
Nicholas Campanella: Got it. And then just my last question. I think you had some pretty successful legislation on the AMI side in Montana. And I just was wondering could you talk about what's reflected in your current CapEx plan to the timing shift there? And when would you potentially try to bring that forward to the PSA?
Brian Bird: We're continuing to evaluate the timing of the AMI program. We do have it laid out here. We have to complete our South Dakota, Nebraska program that certainly rolls into 2020. We'll layout our Montana plan. And before we do we'll certainly sit down with the Montana Commission.
Bob Rowe: The big activity on the distribution operations side actually across the company is deploying ADMS this year. And then in Montana specifically an enormous conversion to LED street lights that's where our Montana ops folks are really focused right now.
Brian Bird: And to be clear Nick on that we do have dollars in our capital plan associated with Montana AMI. The issue there is that would we be able to capture during this full five-year period or could that be spread out a bit more but we're now at the start of the program certainly not being impacted at all.
Nicholas Campanella: Got it. Thanks again, guys.
Operator: Thank you very much. Our next question will come from Michael Weinstein, Credit Suisse.
Michael Weinstein: Hi, guys. How you doing?
Brian Bird: Hey, Michael.
Michael Weinstein: So, currently the deadband as you go into – as you go into the rate case the deadband is still in place right for the PCCAM?
Brian Bird: Absolutely, it's in place and our hope is legislation ultimately gets signed by the Governor that would remove it before it would come in effect again on July 1 of 2019. But we've already blown through the deadband the tracker year starting July 1 of 2018. So the impact in the first quarter associated with the PCCAM was just the 90-10 sharing that occurred. And so we took the 10% hit of that amount over our base period, if you will for the first quarter that was approximately $1.6 million.
Bob Rowe: The bill is effective upon signature so we're certainly are hopeful there.
Michael Weinstein: Got you. And I think Nick already asked this question, but I was just wondering about the – in the – I guess in the rate case, if you guys are there are certain issues that would be easier to settle than others as you maybe contemplate settlement discussions as you get closer to the hearing dates?
Brian Bird: I do think -- I would just say this Michael, I think back to the tax question it is very complicated items. And I think we feel very good about our position in a lot of those items. And so I don't think we will head down the path on those items much. Obviously, things like ROE and others are easy to talk about than some of these sophisticated matters. But it's early and not a lot of discussion going on at this point in time so it's too early to tell.
Bob Rowe: You've got to some extent overlapping and to some extent different parties interested in different issues, but obviously the core we are focused by Consumer Council large customer who's going to be cost of capital, capital structure, revenue requirements, and then cost allocation.
Michael Weinstein: Right. And also Bob you said that you think that basically it's Montana's missed opportunity on SB 331. I was reading though that there might be some other energy legislation that might pick up the ball. I mean, is it really a dead issue? Or is there no chance at all in this legislative session?
Bob Rowe: We're down to the final hours of the session. I suppose theoretically, it's not over until sine die, but there are no more than at most a couple of days of that.
Michael Weinstein: Got you. Okay. Thank you very much.
Brian Bird: Thanks, Michael.
Operator: Thank you. Our next question will come from Jonathan Reeder, Wells Fargo.
Jonathan Reeder: Hey, good afternoon, Bob and Brian. How are you?
Brian Bird: Good, Jonathan. Thank you.
Jonathan Reeder: Hey. So is there any reason the Governor wouldn't sign SB 244? How are you feeling about that?
Bob Rowe: We think it's pretty straightforward logical and fair legislation got good bipartisan support. So we're certainly hopeful.
Jonathan Reeder: Okay. And then what are the differences Bob between the Senate and House versions of HB 22 that need to get ironed out in conference?
Bob Rowe: I'm sorry. I couldn't quite hear that.
Jonathan Reeder: What are the differences between the Senate and House versions of HB 22 that need to get ironed out in the conference committee?
Bob Rowe: Boy, it primarily has to do with some of the QF language. And again, I apologize I can't tell you the status of that as of this afternoon. It's a lot harder. I'm not on the ground, there obviously and it's a lot harder to follow things once they get into conference. So we hope we'll have some visibility pretty quickly on that.
Jonathan Reeder: Right. But do you think if there's like a big bridge to gap or it's just kind of some semantics and it will get figured out?
Bob Rowe: From where we sit it doesn't seem like as big a gap.
Jonathan Reeder: Okay. Got you. And then Brian on the rate case, could you remind us how the authorized equity ratios are typically determined in Montana? Is it formulae based on actual structure as of a given date? Or does the MPSC have discretion or latitude to set what they believe is appropriate?
Brian Bird: Well, I'll answer your first question first they have discretion, but what has been standard and has been followed through many rate cases now is the fact that we use kind of a rate base subtract allocated debt to that jurisdiction to calculate equity and that ultimately determines the capital structure. Since we do not have a HoldCo structure and we're dealing with long-term debt only in that jurisdiction. That's how we ultimately calculate the capital structure and that's been consistently used for I think about 10 years now.
Jonathan Reeder: Okay. And that's what you're filing is based on?
Brian Bird: That's correct.
Jonathan Reeder: Okay. And then I guess in terms of a potential settlement. At this point, I think you said, those discussions haven't yet really begun. So, remind us some on the timing that that's typically post-hearings, I guess?
Brian Bird: No, I think what typically happens is shortly after rebuttal is filed and there's usually a discussion shortly after that. I think should -- people should keep in mind, I think MDU's hearing is before ours. So, I don't know what's going on there, they may be spending time with MDU at this point in time. But they have a bit of work to do with the hearing very shortly for MDUs and ours starting at May 13th. So, - and we've tied up with Board meeting, so there's been a lot of discussion about the settlement at this point in time.
Jonathan Reeder: Okay. Well, good luck on the upcoming hearings and some of the discussions. Looking forward to an update. Thanks 
Brian Bird: Thanks Jonathan.
Operator: Thank you. [Operator Instructions] Our next question will come from Vedula Murti, Avon Capital.
Vedula Murti: Good afternoon.
Brian Bird: Hi Vedula.
Vedula Murti: Let's see. Couple of things. One, I guess in terms of the resource plan and the opportunity for your own capital expenditures to start filling in the deficit. Can you remind me again exactly when you would be able to know the outcome of that? And be able to present the commission, the -- what the outcome would that you would like to pursue?
Bob Rowe: On the South Dakota side, that's in progress. RFP is out. We'll be evaluating that in the second half of the year. I think we have to demonstrate that our proposals are the best, but that's being addressed really pretty efficiently. On the Montana side, we'll conclude the comment period file the plan with the commission shortly after that get input from the commission and then presumably that point move out with a third-party administrated RFP. My sincere concern is that we're in a very, very big hole in Montana. The region is moving in to a hole and Montana's hole is just that much deeper still with the legacy of supply deregulation and investiture of 1997. So, I'm hopeful that we and the commission can move this forward pretty quickly.
Vedula Murti: So, when you have your plan and you submit it to commission, it's possible then that the plan that then is put out for all proposal for third-parties and for yourself could be significantly different than what you proposed?
Bob Rowe: It should not be. No, the typical process involves taking public comment, probably doing the technical workshop. The commission then issuing comments as well. The commission has retained a consultant to help look at the plan. My understanding is that the consultant is focusing primarily on the degree to which the plan was responsive to various questions and issues raised under the 2015 plan. And we obviously believe that we've done a very good job responding to that. The -- and I think, the commission understands the urgency. Just a couple of weeks ago -- and I actually encourage you to take a look at this, they received a presentation from a E3 consulting. And E3 had been retained to look at the regional peaking concern. And I mentioned increased loss of load probability regionally by 2022. It's a serious situation and much more so for NorthWestern's Montana customers than for anyone else. So, I'm hopeful that thoughtful people have spent some time with that subject and understand how serious it is.
Vedula Murti: So, when would you feel like you'll be able to announce how much capacity actually will or -- capital will be awarded as part of this RFP? And the allocation between yourselves and potential third parties?
Bob Rowe: It's way too early to speak to that. We really do have to get the plan filed and get some input from the Commission before we can go to that.
Vedula Murti: No. I was thinking more just simply about timing. When you'd be able to communicate how -- what would actually end up being approved out after the -- after it's been submitted to various third-parties and yourself?
Bob Rowe: Well, we hope to be able to solicit proposals later this year.
Brian Bird: The deal with that I would say I think the earliest would be late 2019, we would have a response to that more likely early 2020.
Vedula Murti: Okay that was -- I appreciate that. Thank you. You've obviously done a very nice job here for quite a while in terms of being able to manage staying out of the regulatory arena. Given that's a 2017 historical test year already even with the -- when you solve this case in May or June or whenever you're already going to be behind in terms of simply rate base and everything like that. So, I don't know if you can kind of speak to it. Because it appears to me just mathematically that based on your capital expenditures less DDA and everything like that every year that you're not updating things your rate base is growing by about $120 million or something like that a year give or take that needs to be offset either through customer growth cost adjustments and everything like that if it's not being necessarily trued up in regulatory filings. Can you just kind of speak to, from a planning purpose given the historical lags what type of regulatory lag you tend to place in your forecast relative to the authorized?
Bob Rowe: Brian is waving his hands, saying give me the ball, give me the ball.
Brian Bird: I think we've tried to operate by jurisdiction within 50 basis points of our authorized. And once we get outside of that it's time to take a look at rate cases. I think if you look at our 2018 Montana annual report now from an electric standpoint, I think that will be coming out here shortly. You will see that we would be under earning pretty significantly in Montana, thus it was important to come in for a rate case. I think to answer your question specifically we really have to see how we do in this particular upcoming rate case. Obviously, if we get a good outcome that provides us some cushion to continue to operate without coming in quicker. If we do not, unfortunately we'd have to be a bit more frequent rate filer and so I think that's something that we have to take consideration. So thus a very good outcome is important to all parties. We will continue to manage our business to try to minimize the impact on customers' bills regardless of the timing and when we come in for rate case and I guess I'll leave it at that.
Bob Rowe: All I would add is obviously we look every year whether we need to go in, we work to avoid rate cases, because we like to provide our customers stable rates. We've been successful in doing that. At the same time that we maintain good levels of investment and high levels of service. So, from a regulators perspective, I think most regulators would say that's a win. When we have to file, it’s time consuming and truly does draw attention and key resources away from doing the work we all want to do to serve our customers. So, we don't file lightly by any means. The other thing -- and it's true in many rate reviews, but certainly in this one as you've got a series of pretty significant policy issues embedded primarily in rate design and those have to be addressed. Hopefully, at least take steps to better position us to serve our customers the way they want to be served in the future.
Vedula Murti: Okay. And I have one last thing. Maybe a little nitpicky on aim. In the 1Q 2019 gross margin chart you mentioned the benefit of $7.3 million associated with the Tax Reform Act. Now when we go forward say 1Q, 2020 obviously that will not be there, but there will be some revenue increase associated with this rate case and basically any other operating pluses and minuses in sales and things of that nature. Is that the right way to think about it such that when we're just kind of thinking about basically comparisons going forward, the outcome of this rate case the gives and takes and whatever will be the items that will help offset that one item that clearly will not be there next year?
Brian Bird: I think you're capturing that appropriately. You have to consider once a rate case is finalized you have a new revenue requirement in your moving forward. The goods and the bads associated with the moving parts in that particular rate case.
Vedula Murti: Thank you very much.
Brian Bird: Thank you.
Operator: Thank you. Our next question will come from Paul Patterson, Glenrock Associates.
Paul Patterson: Hey, good afternoon.
Bob Rowe: Hi, Paul.
Brian Bird: Hi, Paul.
Paul Patterson: So you do actually covered my questions. But one final sort of thought I was thinking about here was now maybe I miss recollected it, but I thought that the Montana Commissioners were generally in favor of the Colstrip legislation? And if they were, is there any regulatory approach that could be used to address the Colstrip the 331, Bill? Do you follow what I'm saying the absence of the 331 Bill?
Bob Rowe: Yes. And in some times and some places, I think the answer to that is, yes. The Commission was divided and they were divided for legitimate reasons. I think that strong majority is a real benefit in being able to acquire that asset for our customers. Their concern appeared to be focused on language addressing the Commission's role. We have -- we've talked about the fact that there are great benefits to our customers and great benefits to the system from doing this. But risks associated with going out to pursue that benefits in our view is that the risks really fell on shareholders. And unfortunately, we have experience of the Commission, I am not arguing with specific decisions, but the Commission pretty abruptly changing its policy late in the course of contested cases, eliminating the lost revenue adjustment mechanism that had been a cornerstone of policy for quite some time, changing its approach to cost recovery in the supply tracker. By taking a different course in the -- even in the most recent iteration of the tracker pursuant to statues than what had been represented that it was going to do. And to some extent that's a function of who happens to sit in those chairs that changes over time as well.  We've also, though, seeing parties come in front of the Commission really trying to re-argue reopen subjects that had been we thought pretty definitively settled in previous Commission orders. Some of the examples are big, some of those are smaller. So all of that comes together to create some pretty significant risk associated basically with us trying to do something good for customers. So that's the kind of risk we just have to figure out one way or the other how to address. And we're sure open to suggestions on that. But in Montana, unfortunately those are real risks.
Paul Patterson: I hear you. Thanks so much. Have a great one.
Brian Bird: Thanks, Paul.
Operator: Thank you very much. [Operator Instructions] Speakers, at this time, we have no further questions in the queue.
Bob Rowe: Well, thank you all very much for joining us and for your interest over the quarter. It is finally Springtime in the Rockies and on the great Plains. So we're looking forward to enjoying that over the weekend. Take care.
Operator: Thank you very much. Ladies and gentlemen, this now concludes today's conference. You may disconnect your phone lines and have a great rest of the week. Thank you.